Operator: Good day, and welcome to the Second Quarter 2025 Lifeward Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Almog Adar.
Almog Adar: Thank you, [ Alicia. ] Good morning, and welcome to Lifeward's Second Quarter 2025 Earnings Call. I am Almog Adar, Lifeward's Chief Financial Officer; and with me on today's call is Mark Grant, our President and Chief Executive Officer. Earlier this morning, Lifeward issued a press release detailing financial results for the 3 and 6 months ended June 30, 2025. The press release and webcast of this call can be accessed through the Investor Relations section of the Lifeward website at golifeward.com. Before we get started, I would like to remind everyone that any statements made on today's conference call that express a belief, expectation, projection, forecast, anticipation or intent regarding future events and the company's future performance may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are based on information available to Lifeward management as of today and involve risks and uncertainties, including those noted in our press release and our filings with the SEC. Such forward-looking statements are not guarantees of future performance, actual results may differ materially from those projected in the forward-looking statements. Lifeward specifically disclaim any intent or obligation to update these forward-looking statements, whether as a result of new information, future developments or otherwise, except as required by law. A replay will be available shortly after completion of the call accessible from the dial-in information in today's press release. The archived webcast will be available in the Investor Relations section of our website at golifeward.com. For the benefit of those who may be listening to the replay or the archived webcast, this call was held and recorded on August 14, 2025. Since that date, Lifeward may have made subsequent announcements related to the topics discussed, so please reference to the company's most recent press release and SEC filings for the most up-to-date information. And with that, I will turn the call over to Lifeward's President and CEO, Mark Grant.
William Mark Grant: Thank you, Almog. Good morning, everyone, and thank you for joining us today. I'm Mark Grant, it's a privilege to speak with you on my first earnings call as Lifeward's President and Chief Commercial Officer. Over the past several weeks, I've met with our teams, customers and partners, and I've been inspired by the positive energy and deep commitment that runs through this company. Lifeward is built on a foundation of innovation, purpose and patient-centered delivery, and I intend to build on that strength as we move forward. Our strategy is clear: delivering life-changing solutions efficiently and at scale guided by an unwavering commitment to the patients at the heart of everything we do. That means accelerating commercial adoption across all of our products, expanding our portfolio of cutting-edge solutions and holding ourselves accountable through the operational rigor needed to deliver sustainable results for customers and shareholders alike. I also live this mission personally. A little over 20 years ago, I experienced a spinal cord injury that resulted in left leg paralysis and a long difficult recovery, a journey in which I could have directly benefited from Lifeward's portfolio. That experience, combined with more than two decades of global medical device leadership and commercial execution, operations and payer engagement gives me a very unique perspective on both patient needs, and the path to delivering our solutions at scale. Frankly, it started even earlier than my injury. Decades spent with my father-in-law, one of the first deans of disability support services in the university system left an indelible mark with me. He played a pivotal role in instituting Section 504 of the Rehabilitation Act of 1973 and in driving the support and execution that led to the American with Disabilities Act of 1990 as well as the 2008 Amendments Act Title II and Title III of the FDA (sic) [ ADA ] and the Fair Housing Act, all of which established a well-grounded foundation for me to build upon during my life and my career. As you can see from me stepping into this role, it is not just a professional milestone, it's a personal mission, one that combines deep empathy with the drive for continuous innovation and operational discipline. My commitment is to ensure that we stay ahead of the market needs, expand access to our solutions and deliver tangible lasting impact. Now let's move on to recent accomplishments. In Q2 2025, revenue was $5.7 million, also reflecting a record quarter for ReWalk Medicare placements. As you remember, in March, we achieved FDA clearance for our ReWalk 7 Personal Exoskeleton, the latest innovation of ReWalk pipeline that introduces new features, streamlined for accessibility and ease of use in everyday environments, improved battery life, push button control, seamless stair curb activation and cloud connectivity. To date, over 20 systems -- over 20 ReWalk 7 units have been installed in the U.S. with an overwhelmingly positive feedback from both patients and therapists. We're currently in the final stages of obtaining CE clearance for ReWalk 7 and look forward to a similar response with our subsequent launch in Europe. On the operations side, we completed the transition to in-house manufacturing of the ReWalk Personal Exoskeleton delivering cost savings, improved quality control and greater production flexibility. Additionally, as part of our consolidation efforts, we finalized the closure of our AlterG manufacturing facility in Fremont, California. In the U.S., we've continued to expand our payer base for the ReWalk Personal Exoskeleton. Our partnership with CorLife, a division of NuMotion, has accelerated our lead pipeline and processing time lines for workers' compensation claims. We've also continued to work with the Medicare administrative contractors, the MACs, to achieve clarity on case submission requirements, and we received a recent ruling by Ministry of Law Judge affirming that ReWalk Personal Exoskeleton is a reasonable and necessary for medical beneficiaries. As a result of these and other achievements, we improved our quarterly cash burn to $3.9 million, down from $5.6 million in Q2 '24, also $5.5 million in Q2 (sic) [ Q1 ] '25 driven by operational efficiencies, facility consolidations and other reduction initiatives. Now let me turn to our growth strategy, which is anchored in three core pillars that will drive sustained performance and long-term value creation. The first pillar is accelerating commercial adoption. We're building on strong momentum from recent Medicare and commercial insurer wins by reducing approval times, expanding coverage and scaling access globally. This effort is supported by four key levers: payer expansion, channel distribution, digital engagement and strategic alliances. By pairing innovation market access strategies with process improvements in reimbursement and collections, we aim to speed order to cash cycles, improve DSOs and convert demand into revenue more efficiently. The second pillar is portfolio diversification. We are leveraging software innovation, robust hardware and AI integration to expand capabilities to deepen customer engagement. Our innovation focus is matched by disciplined execution, ensuring that our solutions are effective, intuitive and accessible to the broadest patient base while remaining commercially viable at scale. The third is operational excellence. We're focused on driving margin improvement, deploying capital with rigor, accelerating cash conversion through greater efficiency in reimbursement and collections, herein innovation means continuously refining our internal processes from manufacturing to revenue cycle management. These improvements are designed to extend our financial runway, enhance our profitability and ensure that growth translates into predictable, timely revenue. One highlight and a clear glimpse of what's possible is the performance of our GmbH team in Germany. They're operating profitably, building a strong patient community and using their payer acceleration and market scale to move quickly in rolling out innovative new business models. These models blend accelerated commercial adoption through channel partnerships and distribution growth with disciplined execution and reimbursement, allowing faster order to cash and better DSO. At the same time, the team is expanding AlterG sales through targeted channel strategies and local market innovation, proving the value of our portfolio diversification approach. Operational excellence is evident in their ability to test, refine and scale solutions rapidly, ensuring that works in Germany can also adapt to other global markets, including the United States. Germany has become our proving ground. Here, we push the limits of delivery, integrate customer feedback quickly and perfect strategies before a broader rollout. This approach reinforces the strength of our three pillars, delivering tangible results today while chartering the course for sustainable, profitable growth tomorrow. Lastly, I know you've already heard from him, but I'm pleased to share earlier this week, we appointed Almog Adar as Lifeward's Chief Financial Officer. Almog is no stranger to Lifeward, having served more than 5 years in senior finance roles within the company, Almog's proven track record here at Lifeward gives me full confidence in his ability to strengthen performance, improve operating efficiency and progress toward long-term profitability. I'm looking forward to working closely with him to accelerate execution and unlock more of Lifeward's growth potential. Almog, welcome to your new role, and over to you.
Almog Adar: Thanks, Mark. I'm pleased to be speaking with you in my first week as Lifeward's Chief Financial Officer. Having spent more than 5 years in senior finance roles here, I have developed a deep understanding of our products, markets and operations, complemented by prior leadership experience outside Lifeward. This combination enables me to contribute not only as a financial leader but also as a strategic partner in guiding the company's direction. Lifeward has a strong foundation and an innovative product portfolio, a talented team and a mission that is deeply meaningful to me, improving the quality of life for the people we serve. As CFO, my focus will be on maintaining rigorous financial oversight, aligning resource with the highest impact opportunities and managing our cash position prudently to support sustainable long-term growth. With that, let's turn to our financial results for the quarter. As we review our results. I will cover both GAAP and non-GAAP figures. The non-GAAP results exclude the items detailed in the reconciliation tables in today's earnings release and in our view provide a clear picture of the company's underlying operating performance. I'm encouraging you to refer to the GAAP results and the reconciliation tables. As we go through the second quarter 2025 financials, year-over-year Lifeward reported revenues of $5.7 million in Q2 2025 compared to $6.7 million in the second quarter of 2024, a decrease of $1 million or about 15%. Quarter-over-quarter, revenue increased approximately 14% from $5 million in Q1 2025, driven primarily by higher sales of ReWalk systems in Germany. Now let's break it down by product line on a year-over-year basis. Revenue from our traditional products and services, which includes the ReWalk Personal Exoskeleton, the MyoCycle FES bike and the ReStore Exo-Suit totaled $2.5 million in Q2 2025 compared to $3.1 million in Q2 2024, a decrease of about $600,000 or 19%. The prior year period included about $700,000 of Medicare-related revenue recognized for submissions made in 2023 and the first quarter of 2024. Excluding the onetime revenue recognition in Q2 2024, Medicare-related sales grew year-over-year. We also continue to improve ReWalk sales, achieving our highest quarterly total of units placed to Medicare beneficiaries since fee schedule established in April 2024. Our pipeline of qualified leads continue to expand and advance with more cases moving into later stages of the claim processes, positioning us for future conversion to sales. Revenue from AlterG products and services was $3.2 million in Q2 2025, down from $3.6 million in Q2 2024, primarily due to the timing of deliveries to international distributors. The pipeline of high probability leads remain strong and is expected to support higher deliveries in the second half of the year. Across both product lines, our commercial pipeline remains healthy. For the ReWalk product line, we saw our third consecutive quarter of pipeline growth, ending the quarter with more than 130 qualified leads in process in the U.S. reflecting an 86% increase in our active pipeline since Q3 2024. In Germany, we had 46 leads in process at the quarter end, included 34 active rentals, which historically convert to sales within 3 to 6 months. For AlterG, we closed the quarter with 15 systems in backlog. The high probability lead pipeline provides visibility into anticipated demand, and we continue to focus on converting these leads into order. Moving to gross profit. In the second quarter of 2025, our GAAP gross profit was $2.5 million or 43.9% of revenue compared to $2.8 million or 41.1% in the second quarter of 2024. On a non-GAAP basis, for the second quarter of 2025, gross profit was $2.5 million or 44% of revenue compared to $3.1 million or 46.9% in the second quarter of 2024. The year-over-year change in non-GAAP margin primarily reflects the absence of a onetime benefit from Medicare-related revenue recognized in last year's second quarter, for which the related cost has been recorded in prior periods. GAAP operating expenses were $9.1 million in the second quarter of 2025 compared to $7.2 million in the second quarter of 2024, the increase was largely driven by $2.8 million goodwill impairment charge, triggered by a significant decline in our share price that created a gap between our market value and book value. This noncash charge has no impact on our liquidity or the ongoing operational performance of the business. On a non-GAAP basis, adjusted operating expenses were $6 million in the second quarter of 2025 compared to $6.9 million in the second quarter of 2024. The decrease primarily reflects greater efficiency in reimbursement activities, improved efficiency in marketing and sales operation and lower R&D spending after the completion of major development programs. We expect this positive trend to continue into the second half of 2025 supported by the ongoing impact of our efficiency measures. Our GAAP operating loss for the second quarter of 2025 was $6.6 million compared to $4.4 million in the second quarter of 2024. On a non-GAAP basis, operating loss was $3.5 million compared to $3.7 million in the same period last year. We expect our quarterly operating loss to narrow further in the second half of 2025 as sales volume continues to grow and efficiency measure take hold. We ended the second quarter of 2025 with $5.1 million in cash and cash equivalents and no debt including approximately $1.2 million in gross proceeds from our ATM facility and approximately $2.6 million from our public offering completed during the quarter. Our operating cash usage in the second quarter of 2025 was $3.9 million compared to $5.6 million in the second quarter of 2024 and $5.5 million in the first quarter of 2025. The improvement reflects the benefit of operational efficiencies and the closure of our Fremont facility. Our cash usage was still higher than expected due to two main factors. First, Medicare collection remains slower than anticipated while we continue to submit claims and build our receivables, payments from Medicare administrative contractors are still not occurring on a regular cycle. We are actively working with the MACs to improve processing times and expect to see progress in the second half of 2025. Second, inventory increased due to our transition to in-house manufacturing following the conclusion of our agreement with Sanmina, which required us to secure long lead time components internally. In addition, we are simultaneously supporting production for both the ReWalk 6 and the ReWalk 7 as we await CE approval in Europe for the ReWalk 7. Over time, we expect inventory levels to decline and for this transition to drive improved gross margin and enhanced product quality. Based on our current plan, we remain a going concern with sufficient cash to fund operations into the fourth quarter of 2025. We are considering both debt and equity opportunities to support our operations and growth plans, while implementing cost management plans to preserve resource and maintain focus on our core business. Lifeward is resetting its full 2025 guidance under the new management team, focusing on revenue and non-GAAP net loss as our key performance indicators. For 2025, the company now expects full year revenue in the range of $24 million to $26 million and the projected non-GAAP net loss in the range of $12 million to $14 million. While we have adjusted our near-term outlook to reflect the current environment, our long-term growth drivers remain firmly intact. We are executing with focused discipline to capture these opportunities and position the company for sustained value creation. With that, I would like to turn the call back to Mark for further remarks.
William Mark Grant: Thank you, Almog. We're committed to setting expectations responsibly. While our long-term opportunity remains significant, it's important to acknowledge that some revenue cycles in our markets are inherently extended, particularly those dependent on payer approvals and coverage decisions. At the same time, we are deliberately pacing our investments to preserve cash, sustain operational discipline and support long-term value creation. As a result, we expect to grow the next few quarters to be more gradual than some might anticipate with meaningful acceleration weighted toward the back half of our strategic plan and beyond. This measured approach reflects disciplined execution, ensuring every step we take advances our mission, strengthens our financial foundation, and positions Lifeward for durable profitable growth. As your new CEO, I bring a different kind of rigor, one, shape by a track record of transformative commercial execution, relentless innovation and operational discipline. This approach will define how we operate, how we compete and ultimately how we win. You should expect the same high standards I have consistently upheld, standards that our patients, providers and shareholders rightly deserve. We remain committed to developing solutions that provide, restore and enhance independence, confidence and quality of life for the people we serve. I look forward to sharing our continued progress with you next quarter. In closing, I want to thank the employees, customers, shareholders for your ongoing trust and support. I'm confident that Lifeward is on the right path, one that balances bold innovation with disciplined patient-centered execution. Operator, let's now open the line for questions.
Operator: [Operator Instructions] First question is from I-Eh Jen, Laidlaw & Co.
I-Eh Jen: Almog congrats for being the new CFO. A couple of quick ones here. The first one is in terms of the Medicare revenue for the quarter, I didn't hear any specific, maybe I missed it. Could you provide some color on that?
Almog Adar: Yes, sure. Thanks, first, Jen. So in Q2 2024, we had a onetime revenue recognition that's related to submissions that we made during 2023 and Q1 2024, approximately worth $700,000. So as I explained, excluding this portion of onetime item in Q2 2024, we have a growth like for the submit -- the original submission that we made in Q2 2025 compared to Q2 2024 for Medicare. And in addition, this is our highest quarterly revenues with the placed unit with CMS since we launched the plan.
I-Eh Jen: Okay. Great. That's very helpful. And you mentioned there's a number of leads in the United States as well in German. Could you -- I'm not sure I catched that precisely, I thought that it was 130, but could you clarify that for me?
William Mark Grant: Yes. Thank you for the question. Yes, the Medicare leads are greater than 130 right now and the pipeline continues to build quarter- over-quarter as you would imagine, as you've alluded to and as these questions are kind of digging into, the revenue is a bit lumpy just because we're still expanding the coverage and understanding the timing. So -- but things continue to grow quarter-over-quarter.
Almog Adar: And I would add to that. It's 130 -- sorry. Yes. So -- we have more than 130, and it's combined -- it's a combination. It's not only CMS, it's also workers' comp and VA opportunities, correct.
I-Eh Jen: Okay. Great. That's very helpful. Maybe my last question, it's a little bit in 2 parts. The first one is, is the current sort of tariff situation has any impact on you? And the second part of that is, given your guidance for the 2025 guidance, you were -- sort of you will expect to grow -- have the revenue, particularly in the ReWalk side have the highest so far in history, was something that you guys feel that achievable? And thanks for the -- for taking the questions.
Almog Adar: Okay. So related to -- the first question related to the tariff, we don't have this -- we are not facing with any -- with issues with the tariffs because our ReWalk Exoskeleton is a medical device that has some exemptions. And we are facing with some tariff situation with China and Taiwan for our AlterG product, what -- while we are working towards to find some solution here in the U.S., but the effect is immaterial at this stage for us. . Related to the second question and the guidance update. Yes, we are expecting some growth in ReWalk revenues also in Q3 and Q4 for the ReWalk product.
Operator: Next question is from Swayampakula Ramakanth, H.C. Wainwright.
Swayampakula Ramakanth: Mark, and Almog, congratulations to both of you for your positions here. And Mark, it's great. It's nothing like having a personal interest when you're coming into a new position. So starting off, you were saying in the opening remarks about 20 units of ReWalk 7 having placed since approval. So are these units primarily through Medicare, private payers, VA, I'm just trying to see how well distributed these 20 units are.
William Mark Grant: Yes. They're just -- that's a good question. They're distributed across all channels. But yes, we have a high focus on CMS Medicare.
Swayampakula Ramakanth: Okay. And then regarding the ALJ ruling, how does it benefit, does it help in the CMS processing it, does it improve on the timing? Does it improve on getting less number of questions and pushback from the CMS. How does that ALJ ruling really help you?
William Mark Grant: Yes. Based on my previous experience, and I think you remember, I've managed hundreds of payer contracts and government contracts across the globe and thousands of variants. And so as ALJ decisions come forward, they do, they shape how the policies are written, they shape coverage determination. They also shape how the processes are actually built, and so it's been helpful to have those rulings even though it's painful for patients and for everybody involved, it's an important process and step in how we secure our current coverage.
Swayampakula Ramakanth: Okay. And then on the reimbursement itself. During that process, there was a lot of going back and forth on the dollar amount and whatnot. And now that you're introducing ReWalk 7, is the reimbursement dollar amount -- has it gotten better because this is an advanced mission? Or you're trying to first make sure that you have more installations before worrying about reimbursement price.
William Mark Grant: That's actually a really unique question because the payment is differing across all payer channels, right? So whether that's workers' comp, whether it's VA, whether it's private, managed or Medicare. And so for Medicare, the ReWalk 6 and ReWalk 7 are the same ASP, but across the other payers, it's actually completely different. So we intend to expand the reimbursement over time as we bring additional innovation forward. But right now, as you alluded to, we're really trying to penetrate the market and understand all the payer environments. So I don't know that I have a comprehensive picture to be able to tell you that we could officially go change pricing right now. I think more it's about establishing this novel technology and making sure that it's got a forward solidified place in the marketplace.
Swayampakula Ramakanth: Okay. Just a couple more. I'm sorry, I'm taking too much of your time there. On the AlterG commercialization, since quarter after quarter, we are seeing AlterG contribution getting better. How do you -- what are your plans to ensure that you actually maintain that sustainability of growth? And what are the near-term milestones for that to happen?
William Mark Grant: Yes, a couple of things. One of which it's an exceptional product, right? So I actually had the chance to use it as I came on board. As I mentioned earlier in the call, I have left leg deficiency. And so it immediately picked up on that left leg deficiency to the point where they thought the system was off because I didn't disclose that I had actually had some previous injuries. So I love the product. I could have used it in my therapy and healing along the way. There is a definite resurgence of growth that can happen with the AlterG product. We're looking at channel partners across the globe right now to figure out how to best expand that product. Also, we're looking at a renewed focus on how we actually go to market with it. It fits well within our portfolio, but our portfolio doesn't expand to all of the professional athletics and high school sports and elites. And so really having some hyper focus around those particular markets is important for us to do going forward. So I think it's a really key part of our portfolio, and I do see its acceleration as we go forward.
Swayampakula Ramakanth: Okay. And then the last question is actually on the guidance, on the margins. The guidance came down a bit. Obviously, it's not huge numbers, but in general, what's the thinking behind lowering the guidance that bit? And then Almog, as you said, you're bringing manufacturing in-house. I know you said there is going to be some impact on the inventory at the beginning. But overall, what sort of margin expansion could we expect by bringing that in-house.
Almog Adar: Okay. So I will start first with the margins. So as you mentioned, we make the transition during Q2 from Sanmina to our facility in Yokneam. And this change brings [ with him ] a lot of efficiency and improvement from a lot of aspects. Some of them is in the margin area, some of them in the quality area, so we are expecting the margin to be improved for sure. I mean I cannot provide right now a number, but there is an improvement in terms of the margin.
Swayampakula Ramakanth: Okay. And then on the -- any comments on guidance...
William Mark Grant: I'm sorry. I think it's important to note as we moved the facility internally. We took on quite a bit of inventory, which we didn't have on our books. So this is actually going to impede the margin in the short term, but that will improve over time as well. So not only do we have value engineering in place to make sure that we actually improve the true COGS of the product. We also are just battling a little bit of inventory in the short term.
Almog Adar: Yes, and then there is another reason to the inventory increase. We are right now delivering two products. In Germany, we are still providing the six and in the U.S., we are in the seven. We need to maintain parallel. Hopefully, during Q3, we'll get the CE approval, and this will affect also the inventory from this aspect. Related to your question to the guidance, can you remind me the question again?
Swayampakula Ramakanth: No, I'm just saying the reasoning behind lowering the guidance because at one level, you're saying you expect better revenues going forward in the second half. But at the same time, you're kind of lowering the guidance. So is there something that you're concerned about?
William Mark Grant: There's nothing we're concerned about. The trajectory of growth that was in the previous plan is just different, right? As we start to navigate all these different payers across the globe, the timing has not been what we've expected. As you can see from our numbers, the pipelines are growing, right? The products are expanding. The innovation is being approved, but the timing is something yet to be understood. And frankly, that's why I'm here. The expertise that I've had over the last 20 years of delivering in this exact environment, is the rigor that I'm going to bring to hopefully speed this up. But I want to be realistic in my initial overview of the organization set expectations correctly.
Operator: Next question is from Benjamin Haynor, Lake Street Capital Markets.
Benjamin Charles Haynor: First off for me, Mark, in your experience, obviously, great to see that ALJ decision, but just thinking kind of through that, I mean, I know these things are kind of one-offs individually, but does it take kind of a handful of these things to go your way? Is it more about undefeated win rate or a high win rate to get people to kind of get the policies in place that make these things go more smoothly in the future. What really trips that trigger.
William Mark Grant: Yes. I mean I am definitely going to give you based on my experience because this market is a little different just from a size wise. But yes, it's a heavy lift for everyone, right? So it brings people together to solution. And you're correct, you need to have a high hit rate. So the product needs to be the right patient at the right time. So both of those combined actually really work well. In this type of market, I don't actually think it takes a bunch because it's a heavy lift around everyone. My previous experience is, it has not taken a lot of ALJ cases to bring everybody to the table. I think everybody just wants to make sure that we're spending the health care dollars appropriately. So I understand the process. I'm not a fan of it, but I understand it. And so I think your summary of it, no, it just takes a high win rate. We got to make sure we have the right patients and the right therapies. We need to actually go through the lift to get through to understand that we have the right patients for the right technologies. And then as we do that, we can formulate the processes with the governing bodies as well as the private payers.
Benjamin Charles Haynor: Okay. Got it. And you get -- do you get the sense that folks are moving more closely to putting kind of a decision in place where it's just like here's what we need and that -- these are the criteria? Or is that still a little bit of amorphous.
William Mark Grant: I'll give you one point, and that's probably as far as I can elaborate, is near-term claims are being processed. The further out claims that we processed a long time ago were still in the works. So that would tell me that we're figuring it out both sides, right, payer and internally here at Lifeward.
Benjamin Charles Haynor: Okay. That's helpful color. And I appreciate the commentary on kind of the time lines not being nailed down completely yet. But maybe can you talk about to the extent that cost per pipeline addition, attrition in the pipeline, ultimate cost to successfully acquire a ReWalk patient and then does time line shortening hopefully, over time, does that, in your view, ultimately impact kind of everything in that, the cost of the additions, the attrition and all that, all those sorts of metrics.
William Mark Grant: Then I'll back up a step and then I'll attempt to answer the question. First for me, there's three areas that are core to the business. Access is key and that's across the patient and payer market. The next is innovation is really still at our core, and we need to make sure that we capitalize on that by delivering a high-quality product and moving on into next iterations. And then operational excellence, which is frankly where you're landing, that needs to be our fabric. So we're seeing the pipelines actually. When you speak to attrition and everything else, I see this organization as a start-up, the pipelines are growing. There's not a lot of attrition as we're finding the patients. What's actually we're trying to find is how do we find partners or build ourselves to make sure we can access all the payer needs. And so right now, there's not a lot of attrition in the pipeline. What's happening is we actually need to pull these pipelines through and formalize the processes, so it's cleaner. So there's not a lot of time for me to base on attrition metrics at this point. It's definitely something we should talk about in the future.
Benjamin Charles Haynor: Okay. That's helpful. Fair enough. And then I appreciate the commentary on what you guys have [ grown ] in Germany. What kind of needs to happen here in the U.S. to duplicate some of the things -- the positive things that you've seen in Germany?
William Mark Grant: Yes. So one is focused execution, right? So AlterG has a very specific call point in the sports arena, and we need to make sure that we're highly focused on that and getting back to those roots. Secondarily, the portfolio sale is really good. We have highly skilled clinical reps, I'm comfortable with having ReWalk and the MYOLYN products and AlterG in their portfolio. So I think a focused effort here in the U.S. I think secondarily, we've got to find some different channel partners. I've been exploring some things out of my past and looking forward to make sure we're using the right delivery model. Ultimately, it's all about reach. We have excellent products. They're all under penetrated. They're all of exceptional quality. It's all about the reach, penetration. So again, I'll go back to the four tenets, three tenets. Its access is going to be key. It's across all portfolios, our innovation, but I am just picking on what it is today, they are great products, they are excellent in the marketplace, incredibly relevant and still forging past with the best names and then the operational excellence is just where it's coming down to. And I'm going to lean on that third one because that's the question you asked. It's really about the rigor and discipline that we take into the marketplace. That's actually what's required for us to excel.
Benjamin Charles Haynor: Okay. Got it. And then lastly for me, just on the MYOLYN products and AlterG. What is kind of embedded in the guidance for that? I mean do you expect growth from last year?
William Mark Grant: We expect growth from last year on both product lines, yes.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Mark Grant for any closing remarks.
William Mark Grant: Okay. If no more questions, we'll go ahead and conclude the call. I appreciate everybody's attendance today. Thank you, and we're looking forward to next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.